Operator: Good day everyone you are on hold for today’s International Flavors and Fragrances conference call. We are currently admitting additional participants and plan to be underway shortly. Thank you for your patience and please continue to stay on the line. Please stand by. Good day everyone, and welcome to the International Flavors & Fragrances third quarter 2007 earnings conference. Just as a reminder today’s call is being recorded. All participants’ lines will be muted until the question-and-answer portion of this call and instructions will be given at that time. The speakers for today’s call will be Mr. Robert Amen Chairman and Chief Executive Officer, Mr. Douglas Wetmore, Senior Vice President and Chief Financial Officer, and Yvette Rudich, Director of Corporate Communications. Please go ahead.
Yvette Rudich – Director of Corporate Communications: Hello and thank you for joining us today. During the course of this web cast we may make certain forward looking comments. The complete texts regarding our forward looking statements is included in our press release and in our filings with the Securities and Exchange Commission. In addition during this web cast we may refer to certain non-GAAP financial measures in order to supplement our GAAP financial results. Examples of such measures include our discussion of local currency sales performance and a clickable geographical regions and earnings per share, excluding restructuring charges and other non returning items. We will leave this slide up for a moment, to ensure that everyone has an opportunity to review it. Now here is what we will cover on today’s call. Rob will speak about market dynamics, third quarter highlights and the business unit overviews. Doug will then provide a third quarter financial review. Following some closing comments from Rob, we will then take your questions. And with that, I will now turn it over to Rob. Rob?
Robert M. Amen – Chairman and Chief Executive Officer: Thanks, Yvette. Good morning everyone. Thanks for joining us. Before we discuss our Q3 results, I wanted to share with you our view of the market place, which is part of what makes us particularly optimistic about our future. The global economy continues to show healthy growth. Both the developed and the developing markets are expected to grow through 2008 with China and India driving increases in growth. And we believe the Flavor and Fragrance markets are growing as well, which is due in part to the increasing purchasing power of consumers in the developing markets. This is good news for our customers and for IFF because our customers are among the most prominent global enterprises, who are growing those regions. In addition their customers in developed markets, they are reaching a growing middle class that stretches from Indonesia to China to Russia, Brazil and beyond. Our data indicates that as entry level consumers’ disposal income increases, they spend a disproportionate amount of their new income on better consumer products and that’s good for our future. Such is the snapshot of the external environment as we see it. Now let’s take a look at our third quarter results. As we told you on our second quarter call, our key priorities continue to be developing our customer relationships, developing our product innovations, topline growth and improving our operational performance. Focusing on these elements enabled us to deliver in the third quarter, results that equaled or exceeded our long term financial goals. Looking at the third quarter highlights, adjusted to exclude unusual items, which Doug will cover in more detail later, our revenue grew 8%. Excluding the foreign exchange impact our growth was 5%. We believe that’s faster than the market’s growth. Operating margins were 16.5%, up slightly from last year’s 16.3%. And earnings per share increased 13% from a year ago period. We are very pleased with these results and clearly we are moving forward in all areas because of the successful implementation of our business plan. Turning to the individual businesses, the flavor business had another very strong quarter. This is the third quarter in a row of double digit sales growth for the business. The growth was in all categories and in each market. Operating margins improved, growing 14%, driven by new winds, improved costs and richer product mix. The business unit strategy is clearly paying off and I am pleased with the momentum that we are building in this business. The Fragrance business sales were up 6% versus the third quarter of 2006. Results in this business were weighted down due to lower pricing for Fragrance ingredient sales and a weak year-over-year performance in our fabric care segment. I believe, we’ve bought a bottom down in these areas and expect improvement in coming quarters, as encapsulation launches take hold. Fine Fragrance had another strong quarter. The Fine Fragrance business has now grown, I believe 15 quarters in a row. The Fragrance business overall is performing well expect in fabric care volume and ingredients pricing. I believe this business has a right initiative underway to deliver stronger results in the coming quarters. Doug will give more details on the financials.
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Yes, thanks Rob. Good morning everyone and let’s begin with an overview of sales. This slide provides a breakdown of sales and growth by our two business units. Flavors achieved a 12% growth on reported dollars on a 9% increase in local currency sales; while Fragrance sales grew 6% in dollars, on a 3% local currency increase. The difference between the local currency growth and the dollar performance was mainly due to the strength of the Euro and the pound. The Euro was 6% stronger then the prior year quarter, while the pound was nearly 8% stronger. A basket of other currencies accounted for the remainder of the exchange effect. Now, I’ll discuss the sales performance in a little bit detail by business unit. This chart depicts the percentage growth in our consolidate sales, in both local currency and reported dollars since the first quarter 2005. As you can see we’ve been delivering local currency growth since the fourth quarter of that year, and moreover since the second quarter of2006, we’ve been achieving local currency growth in line or better than our stated goal of at least 4%. Also, as it is evidenced in the graph, we went up against some challenging comparisons from a growth perspective in the third quarter this year, having grown 7% in the local currency in the third quarter 2006. Now turning to sales performance by geography, in this slide we summarize sales performance in local currency by the geographic regions. In full details regarding that sales growth are in our 10-Q, which was filed this morning. North America sales overall were flat laid down by volume decreases and functional Fragrances partially offset by continued strong performances in a Fine Fragrance and Fragrance ingredients. Flavors continued a strong 2007 performance in North America growing 5% in the quarter, driven mainly by new winds. Growth in Europe, Africa and the Middle East, came in all product categories led by increase of 15% in ingredients and 7% in Fine Fragrances. Flavors delivered another solid quarter of 4% local currency growth. Latin America sales were particularly strong most notably in Flavors, which increased 31% in the quarter and is up 21% year-to-date. The Flavors performance year-to-date follows an 11% increase for the full year 2006 and a 21% increase in 2005. So we have really been doing well with Flavors in that market. Latin America Fine Fragrance also continued to strong growth increasing 14% in the quarter. Per functional Fragrance and ingredients were impacted by volume declines and in the case of ingredients, pricing also added some impact. Greater Asia achieved significant growth driven by new winds and improved volumes most notably in Flavors, which increased 10% local currency. Fine Fragrance performance was also very solid driven mainly by new winds. Local currency sales to our top 30 customers, which currently account for about 57% of our sales, grew in line with the growth for the quarter at 5% and are up over 6% for the first 9 months this year, continuing the pace of growth achieved for the full year 2006. Now turning in some details of Flavors, this chart depicts the percentage growth in Flavor sales in both, local currency; the yellow line and reported dollars for the last 3 years since December, January 1 2005. As in evident, the local currency sales performance for Flavors continues to strengthen driven by increased winds and improving volume. Flavors, has now grown nine consecutive quarters in local currency and we are confident that growth will continue. And Flavors sales growth has led to equally strong improvements in Flavor profitability as Rob discussed moments ago. The new winds in volume growth of existing business drove improved gross margin performance. Product mix and expense absorption have also contributed to the improved profitability. Now operating profit depicted on this slide is as adjusted to exclude a $3 million insurance recovery, related to the 2005 product contamination issue. We realized that insurance recovery in the third quarter of 2006. Including the insurance recovery from the prior year operating results, the 12% sales growth would have resulted in an 8% increase in operating profit on a GAAP reported basis. Turning to Fragrances, the percentage growth in Fragrance sales in both local currency and dollars since the first quarter of 2005 is depicted on this chart. The local currency sales performance has been quite strong for the past several quarters, driven by new winds and the sustained success of existing creations. Net strength over this period has been most evident in fine fragrance and beauty care. More recently, sales of ingredients have also begun to pick up. Ingredient sales increased in the third quarter and have increased 7% in local currency year-to-date. As Rob mentioned earlier in the call, functional fragrances have been weak, most notably in fabric care. However, we expect that weakness to begin turning around soon enabled mainly by the new encapsulation product launches, which we expect. Now looking at fragrance profitability, the fragrance operating environment has been somewhat more challenging than flavors has experienced, and fragrance profitability has not grown in the same manner that it has for flavors this quarter. It is fair to note that fragrance has the more difficult comparisons with prior year periods. The fragrance margins continue to be impacted by lower selling prices on fragrance ingredients; having said that though, the selling prices have stabilized at these lower levels. Profitability in the current quarter was also impacted by weak functional fragrance sales, as well as some increases, in raw material costs. The raw material increases were in line with our expectations, and about 2% to 3% year-over-year. The cost of scaling up of the new ingredient facility in China, which I noted in our past couple of quarters, has diminished in third quarter 2007, and that plant is close to operating at a normal capacity level. Now turning to consolidated operating results. This chart reflects as adjusted numbers for 2006. The sole adjustment is the exclusion of the $3 million insurance recovery, which was included in selling and admin expenses in the 2006 third quarter. Sales increased 5, excuse me, 8% in dollars on the underlying 5% local currency increase. Gross margin eroded somewhat compared to the prior year for the reasons already mentioned, namely the lower selling prices for fragrance ingredients. We continue to tightly control expenses in both research and development and selling and admin. Currency translation added about 3% to each category, compared to the prior year quarter. But as a percent of sales, R&D is 10 basis points below the prior year quarter, and is down about 30 basis points year-to-date. Selling and admin expenses declined 70 basis points in the 2007 quarter in comparison to the prior year excluding that insurance recovery. Including the insurance recovery in the 2006 results, selling and admin expense for the FY06 quarter would have been 16.3% of sales compared to the 16.2% that we reported in the current year. Selling and admin expense for the current quarter also included about $1.5 billion of expense incurred in connection with initiatives currently underway, to transform our business processes along the lines of what we’ve talked about in prior calls. I would expect the similar amount of expense in the fourth quarter this year as well as the first quarter next year. The principal enabler of these transformation initiatives is our single global instance of SAP, which we’ve talked about a long period of time. We’ll begin to see benefits of these initiatives in the second half of 2008, and it’s premature to share additional details on this call but we will keep you updated as progress is made. Operating profit as a percent of sales on this as adjusted basis, totaled 16.5% in the third quarter this year compared to the as adjusted figure of 16.2% reported in the prior year quarter. Now looking at reconciliation of earnings per share, before we walk you through the growth components of earnings per share for the third quarter this year, its important to revisit the 2006 results for a moment. Third quarter 2006 earnings as reported was $0.70 per share. However, the $0.70 per share included the impact of a couple of items that were non-recurring in nature which should be fully considered in evaluating our performance in the current quarter. First the insurance recovery, which represented about $0.03 per share and secondly other income for the third quarter last year, was unusually high, mainly as a result of gains on disposal of some fixed assets. In our third quarter call last year, we highlighted these elements as having accounted for a net swing in other income expense of $0.04 per share. So adjusting for these items we arrive at what I considered to be adjusted earnings per share for the third quarter of 2006, of $0.63 per share and that’s the basis on which we will measure our performance in the current quarter. So, turning to 2007, the evolution of earnings per share from the $0.63 we just talked about to our current year result is depicted on the slide and as in the past, we have not attempted to isolate exchange effects in the chart, so the impact of the weaker dollar is embedded in each of the elements discussed, except the number of shares outstanding. Also the amounts are approximate as they are subject to rounding. But having said that, sales growth added $0.06 per share, inefficiencies added $0.01 per share. The strong sales growth facilitated efficiency improvements, an element of which is capacity utilization and absorption and expense control also contributed to the profitability improvement. However, offsetting this to a certain extend was the somewhat weaker gross margin. Other income and interests expense combined, after taking into account the adjustments I just discussed on preceding slide, accounted for a decline of $0.03 per share. An increase in interest expense represented the biggest source of change, for which the primary reason is the increase in the average interest rate on debt. In the 2006 quarter our average interest rate was 3.2% and this year it averaged 4.4%. The debt we took on in connection with accelerated share repurchase program executed in this quarter and which I’ll talk about in a few moments, had a fairly normal impact on the interest rate, interest expense in the third quarter. Taxes favorably impacted the current quarter’s result. The effective tax rate was 27% compared to 29.8% in the prior year quarter, adding $0.2 per share and there were no unusual tax adjustments in the current quarter. We reduced the number of shares outstanding by 3% compared to the FY06 period, adding $0.2 per share and I’ll talk about the share repurchase in a moment. And finally as discussed in the press release and in our Q, the company reported a pension curtailment loss of $6 million or $0.04 per share. Effective the end of this year, the company froze the defined benefit for the vast majority of its U.S. based employees and introduced an enhanced defined contribution plan for those employees. As a result of these actions the company expects to realize net annual cost savings of approximately $4 million beginning in 2008. As I mentioned additional details regarding the pension change are included in our 10Q. Now taking into account all these components, our reported earnings per share for the third quarter this year $0.67 per share; but for purposes of measuring our future performance specifically the third quarter 2008 performance, we would exclude the impact of the curtailment loss. We consider the adjusted earnings per share of $0.71 per share adding back the pension cost, to be the basis against which our future growth should be measured. It’s useful to put in context our quarterly earnings per share performance this year compared to the last several years. When excluding the restructuring charges and other non-recurring items such as the tax benefit of home land, gains on sale of assets and the 2007 pension curtailment, earnings per share this quarter represents the second highest earnings per share achieved in the companies history. The chart also serves to highlight the element of [inaudible] in our business, with the fourth quarter being noticeably and consistently smaller, in terms of earnings in the other quarters of the year. Bear in mind in the fourth quarter 2006, the company reported GAAP earnings per share of $0.53, which included restructuring charges of $0.02 per share, as well as gains on the sale of land of $0.06 per share and a credit to tax expense of $0.04 per share, for reversal of tax reserves following a tax ruling. Adjusting for these items for purposes of measuring the fourth quarter 2007 performance, our baseline for performance in the fourth quarter 2006 was an adjusted per share result of $0.45. If you are modeling our fourth quarter performance for this year we believe it is the $0.45 that you should be measuring us against. Now, turning to cash flows, the FY07 cash flows from operations declined compared to the prior year result and that was not unexpected. I discussed the contributing factors before but let me briefly repeat those, for someone that may not be familiar. The main driver for the decline was about $55 million of payments and incentive in deferred compensation made in the first quarter of FY07 with respect to 2006. In 2006, there were about $9 million of such payments. For the full year 2007 I continue to expect cash flows from operations to have about the same relationship to net income as it did in 2006. A principle enabler of that in the fourth quarter will be, sharply lower pension contributions this year compared to the roughly $60 million we contributed in the fourth quarter of 2006. We remain pretty tight on our capital spending with about $37 million gross spending year-to-date compared to $31 million prior year period. And capital spending is expected to scale up somewhat in the last quarter of the year. We currently expect spending to be close to $60 million for the full year 2007. Our gross debt at September 30th was $1.187 billion, $1.2 billion compared to just little bit over $800 million at June 30th and December 31st. The debt increased in connection with our increased share buy back activities. You can also see the impact of the increased dividends reflecting the increases in October last year and July this year, partially offset by somewhat lower shares outstanding. This slide outlines the share repurchase activity undertaken this year. You will note that following our announcement in July of the accelerated program, the company terminated the remaining 125 million authorization, that had been in effect and which was replaced by the new $750 million program. We executed the accelerated share repurchase program in September and prior to that during the third quarter, we repurchased just under $1 million shares in the open market. Year-to-date, we’ve accounted the repurchase at 10.2 million shares at an average price of $52. The full details regarding the ASR are included in our 10-Q. As you can see our average shares outstanding in the third quarter this year compared to last year are down 3%. The full impact of the ASR will be evident in the fourth quarter. As you can see our shares outstanding in September 30th, 2007 stand at just below $81 million dollars, 81 million shares, excuse me, down 10% from the 89.4 million outstanding at December 31, 2006. In connection with the ASR, we completed a private placement of debt in September issuing $500 million. You can see the various terms and value for those terms in the chart. The ASR funding accounted for $450 million of funds and the remainder was used to payoff current bank borrowings. We were very pleased with the overall interest in the IFF debt placement and as you can see, we were able to term up the debt over 10 to 20 year period at a weighted average interest rate on debt of 6.37%. Taking into account this debt along with all other debt on our books as September 30th, 2007 our weighted average interest rate was about 5.5%. In terms of maturities, this slide depicts the maturities of debt over the next several years. You can see we have a very good ladder of maturities with no major tranches is maturing in any one period. The 2012 maturity reflects the scheduled end of our current bank facility and while we show it is been paid off for purposes of this slide, it will be our intension to enter into a new credit facility. As expected, the rating agencies adjusted their rating on the IFF debts, which kept our outlook overall as stable. We were very comfortable with these ratings. So in summary before I turn the call back over to Rob, we continue to see strong growth in our industry and we are very encouraged with our performance today. We continue to grow sales, improve profitability and deliver on our near term goals, all while focusing on the initiatives necessary to strengthen our business for the long term. And with that I’ll turn it back over to Rob.
Robert M. Amen – Chairman and Chief Executive Officer: Thanks Doug that was great. Enclosing just a few comments, first we are pleased; we delivered another good quarter for our share owners and our customers. It was a very, very good performance and as we look ahead, we remain confident in our ability to continue to perform, consistent with our strategic goals, which have lined for you this time last year. The combination of the positive external environment and IFF’s continued focus on winning with our customers, developing our people and innovation will enable us to continue to deliver on our commitments. And with that Doug and I will be happy to respond to your questions. Question and Answer
Operator: Thank you. [Operator Instructions] We’ll first go first to Mike Sison of Key Banc.
Michael J. Sison – Key Banc Capital Markets: Hey guys. Hi Yvette nice quarter. Rob when you assessed the organic sales growth this year for 2007, the one of the things that you noted in the long term growth that you felt that market growth would be about 2%. So you are tracking more on the plus side of the four plus, is that more of what you have done internally in terms of new products winds or is the market actually going faster than the two?
Robert M. Amen – Chairman and Chief Executive Officer: That’s a great question Mike; I mean clearly our expectation is. We are going to grow relative to the market first and foremost. We believe that we have got the tools in place to enable our customers to succeed and consequently we will be rewarded with best organic growth. Our understanding in the markets were when we set those goals that on balance of markets were growing at 2%. I think there is increasing evidence that perhaps growth is more than that, but I am not prepared here today to give you a hard number. We are evaluating our data, our customer’s data and we will update that number. If that number goes up, my expectation is that we will again expect to grow faster than the market. But stay tuned we will come back when we will have more analysis there.
Michael J. Sison – Key Banc Capital Markets: Okay. Then when you think about the momentum heading in 2008, I know it’s a little bit early but you know can you give us a little sense on the new project when sort of the momentum there, do you see it carrying over into 2008? Looks like Flavors is done a wonderful job this year, picking up a lot of business.
Robert M. Amen – Chairman and Chief Executive Officer: I tried to indicate that. As I said looking ahead I continue to believe we are going to be able to sustain the growth and sales and earnings that we have lined in our financial goals. Flavors has had a great year and they are on a great trend as you saw from the charts Doug shared with you. Do I expect they’re going to continue to grow at 9% local currency terms? I think that’s a bit of a stretch but I think they are going to continue to grow. They’ve got some terrific new products in the market and winning in a number of areas, so I expect them to continue to advance. Flavors as we've indicated has sort of, pardon me, Fragrances has labored under the dilemma with the pricing of fragrance ingredients, which really dates back to a decline in pricing we saw early in the year. No further deterioration and I would anticipate, not a lot of deterioration from here either. Fabric care has been a disappointment. And that occurred because we had a loss in certain products they came off the market and there was a lag before the new product came back in. These new products are now coming in the market. They are scheduled in the first quarter and beyond. So, I think Fragrance is going to pick up from where they are today. So I remain very optimistic because we've got great internal initiatives and to be honest with you we're dealing with a buoyant global economy and an improving global consumer.
Michael Sison – Keybanc Capital Markets: Right.
Robert M. Amen – Chairman and Chief Executive Officer: That’s our market.
Michael Sison – Keybanc Capital Markets: In terms of the profitability of Fragrances, it’s been, you talked about the margin pressures primarily, pricing and fragrance ingredients, higher raws and sort of volumes there and functional. Are those sort of weighted equally? And then going forward, how do you make up some of those pressures heading into 2008?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Well Mike. The pricing represented about 40% of the impact.
Michael Sison – Keybanc Capital Markets: Okay.
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Material cost represented about 30% of the impact and then the volume declines in functional fragrances, which as you see if you look in the 10-Q were most pronounced in North America, that accounted for about 30% of the decline in the margin. So we're spread fairly evenly between those three elements.
Michael Sison – Keybanc Capital Markets: And do you think those pressures will persist into 2008?
Robert M. Amen – Chairman and Chief Executive Officer: I’d add Mike, in today’s world with oil trading above $90 and various commodities inflating fairly rapidly. Historically we've said our raw materials are increasing in the order of 2% to 3%.
Michael Sison – Keybanc Capital Markets: Right.
Robert M. Amen – Chairman and Chief Executive Officer: And that’s what we've seen. But, I think we have to be cautionary that there could be increases. We have had, they’re not big items because in the context of the 2% to 3% overall increase we've had some declines and we've had some increases of substantially more than that so—
Michael Sison – Keybanc Capital Markets: Alright. Last question, I’ll get back in queue in terms of cost savings plusses heading into 2008 in the fourth quarter, you sort of had the plus paying efficiency mix, if you can accelerate that maintain sales growth would your margins expect to improve in Fragrance year-over-year going forward?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: I think that would be one of the enablers Mike, the second one is as Rob mentioned earlier on the call, the acceleration of the launches in connection with encapsulation technology will one, give us a little bit strengthening in functional fragrances and those two elements along with just continued sales growth will further improve the profitability in 2008.
Michael J. Sison – Key Banc Capital Markets: Okay, great, thanks.
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Thank you.
Robert M. Amen – Chairman and Chief Executive Officer: Thank you Mike.
Operator: [Operator instructions] We’ll go next to Dino Menzo [ph] of Stanford Capital.
Dino Menzo – Stanford Capital: Hi guys, nice quarter. Just want to re-highlight something that makes me understand it properly. If we excluded $3 million gain that happened in Q3 of FY06 regarding insurance settlement, we’ve got out of Q3 FY06 EBIT numbers, we are really showing EBIT margins kind of pre-amortization 17.1 percentage share over 17% last year and post the amortization of 16.5 versus 16.2. So we did expand EBIT margin when you wiped out that $3 million gain is that right?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: And we think its appropriate to wipe that out because that was, we had to explain all that because that impacted both FY05 and FY06, but that’s a one off item that had to go through the selling and admin but you really have to exclude it for purposes of analysis.
Robert M. Amen – Chairman and Chief Executive Officer: It wasn’t a period item really.
Dino Menzo – Stanford Capital: I agree, whenever the sales side notice this morning, I didn’t excluded I made it look like your EBITDA margin was down, 40 basis points year-over-year, so I just wasn’t sure that--
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: I think that’s a very good point, we tried to highlight in both the 10-Q and in the press release and its certainly evident in the slides that we reviewed just a few moments ago. So, we tried to provide as much information as we can and then the reader has to progress from there.
Dino Menzo – Stanford Capital: Understand. I just wanted a couple of book keeping things, Doug who’s the, I’m sorry, was it the share count you ended? How about this, or was it the share count you began Q4 with?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Well whenever we announced the, we bought back 900,000 shares in the open market and we retired 7.6, so, again it works from that.
Dino Menzo – Stanford Capital: Alright, but it seems to be about 80 million or so?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Oh the share is outstanding at the end of its September 30th are 80.9, 80.9.
Dino Menzo – Stanford Capital: Got it, got it. Alright, great, thank you very much guys. I appreciate it.
Operator: [Operator Instructions] We’ll go next to John Roberts of Buckingham Research.
John Roberts – Buckingham Research: Good morning guys.
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Hi John.
Robert M. Amen – Chairman and Chief Executive Officer: Good morning John.
John Roberts – Buckingham Research: The margin pressure in the fragrance ingredients, was that concentrated in Asia were the sales were done so much is that you weren’t able to pass through raw material cost?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Oh John, think of it more as sort of the fragrance ingredient equivalent of suitables going generic, was isolated in items where people could [inaudible] smaller commodities and they took icing down. The decline John, in Asia was primarily volume driven, but in each of the regions there was an element of pricing.
John Roberts – Buckingham Research: Is it excess capacity or what’s preventing you from passing through the raw material cost increases?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Like any commodity its demand and these are still profitable, prices have come down.
John Roberts – Buckingham Research: Okay. And then in the functional fragrance decline in North America that minus 14% on a reported basis, is there any one thing or couple of things that I can for that?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: It was a couple, there is a beeping going on in the back which kind of interrupts I think you have said that asking about North America but that was a couple of different things, no individual product accounted for that but as Rob mentioned and I think I mentioned, that there was some transition from old fragrances or existing fragrances and there was a delay in the launching of the replacement.
John Roberts – Buckingham Research: Was it in the fabric softener area where you’re kind of hoping to make it up?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Yes primarily in fabrics, fabric care and as you know that’s the area where the first launch is of being capsulation technology have been and will be, will continue to take place, so we viewed as more of a temporary aberration.
John Roberts – Buckingham Research: Is this North American fabric care customers flushing inventory of old product?
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: That’s an element of it.
John Roberts - Buckingham Research: Okay. Thank you.
Robert M. Amen – Chairman and Chief Executive Officer: Sarah.
Operator: And it appears we have no further questions at this time.
Robert M. Amen – Chairman and Chief Executive Officer: Well, thank you. Again we are pleased with the quarter. We are excited with momentum we think we’ve got a three solid quarters growing and we look forward to future results. Thanks for joining us.
Douglas J. Wetmore – Senior Vice President and Chief Financial Officer: Thank you very much.
Operator: And that concludes today’s conference. We thank you all for joining us.